Operator: Welcome to the FNB Corporation's Second Quarter 2015 Earnings Conference Call. [Operator Instructions]. I would now like to turn over the conference over to Matthew Lazzaro, Investor Relations. Mr. Lazzaro, please go ahead.
Matthew Lazzaro: Thank you. Good morning everyone and welcome to our earnings call. This conference call of F.N.B. Corporation and the reports it files with the Securities and Exchange Commission often contain forward-looking statements. Please refer to the forward-looking statement disclosure contained in our earnings release, related presentation materials, in our reports and registration statements filed with the Securities and Exchange Commission and available on our corporate website. A replay of this call will be available until April 30 and a transcript and the webcast link will be posted to the Shareholder and Investor Relations section of our corporate website. I will now turn the call over to Vince Delie, President and Chief Executive Officer.
Vince Delie: Good morning and welcome to our quarterly earnings call. Joining me today are Vince Calabrese, our Chief Financial Officer and Gary Guerrieri, our Chief Credit Officer. I will provide highlights from the quarter and cover some strategic developments since our last call. Gary will review asset quality and Vince will provide further detail on our financial result and an update on our guidance for the rest of the year. Vince will then open the call up for any question. We’re very pleased with the quarter's results that again reflect double digit EPS expansion compared to the year ago quarter. Operating net income available to common shareholders was a record 38.4 million and produced $0.22 per diluted share. This translates into a 107 basis point return on average tangible assets and a 15% return on average tangible common equity. The second quarter was marked by positive operating leverage, solid organic loan and deposit growth and positive asset quality results. The quarter's record high total revenue of a 165 million revenue marked the 10th consecutive quarter of total revenue growth. We are extremely proud of this accomplishment and the team's ability to grow total revenue despite a continued low interest rate environment and the loss of interchange revenue that became effective beginning July 2013. During the first half of 2015 we began to realize the increased benefit from the investments made in our fee based business units with particular focus on trust and brokerage, mortgage banking and capital markets. We invested in these businesses to bolster and diversify our fee income sources in the face of new regulatory constraints on consumer banking fees and changing client behaviors. These investments have strengthened our overall revenue mix with fee income making up 24% of total revenue in the quarter. Our bankers continue to build momentum by effectively cross selling fee based services and leveraging the increased number of opportunities from the expansion markets. Wealth management trends were strong with total revenue increasing 15% and assets under management increasing over a 1.5 billion compared to the second quarter of 2014. On a year-over-year basis mortgage banking increased 1.6 million due to record origination volume in the second quarter. Total mortgage banking revenue through the first half of 2015 has already surpassed full year 2014 levels. The significant increase in mortgage revenue is a direct result of the new leadership put in place last year and the corresponding reorganization of the department. We expect mortgage banking to continue to be a meaningful contributor to our fee income stream and support our efforts to increase household penetration and cross selling activity. We’re also seeing benefits from investments made in our capital markets activities which include syndications, international banking and derivatives with total capital market revenue increasing 1.3 million in the first half of 2015 compared to the year ago period. These investments in our fee based business together with diligent expense management signify our continued focus on generating positive operating leverage. The first quarter efficiency ratio of 56% improved from 57.3% in the year ago quarter and marked the 13th consecutive quarter with an efficiency ratio under 60%. On a linked quarter basis annualized average loan growth was solid at 9% and in-line with our expectations. We have continually grown loans organically for 24 consecutive linked quarters, a period of six years. Commercial loan growth was solid at 10% annualized with contributions from both our metro and community markets. At the end of June, our commercial pipelines were near an all-time high with the majority of the opportunities coming from the metro markets. The consumer loan portfolio organic growth was also solid at 8% with growth across all consumer loan segments. At the end of June, our consumer pipelines were slightly above prior quarter levels with the majority of opportunities also coming from the metro markets. Total average deposit and repo growth was 7% annualized led by annualized average non-interest DDA growth of over 21%. The funding position increased slightly compared to the first quarter with the loan to deposit ratio including customer repos of 92%. Now I would like to focus on key strategic developments since our last call. In May we announced the purchase of five branches from Bank of America as they exit the Central Pennsylvania market. We expect the transaction to close in September and are excited to enhance our market presence and leverage the new opportunities created in this region. In June we were able to complete a lift up of a talented Pittsburg insurance team including the successful negotiation to purchase their book of business. This strategic move will enhance our capabilities and support our current insurance offering. We expect these individuals to provide an immediate revenue impact and bring added depth and experience to our existing Pittsburg team. These actions enhance our ability to move up market to serve larger commercial clients and achieve a market share commensurate with our expanded footprint. Last week we launched our new website that included enhanced navigation, new account opening capabilities and a more intuitive user friendly interface which will provide a more streamlined experience for customers from a computer, tablet or a mobile device. A key feature of this new website is the help me decide tool which walks customers through the process of choosing the most appropriate personnel checking or savings product based on answers to simple questions about their situation, goals and banking preferences. We believe this is a large step towards further leveraging the investment made in e-delivery and better aligning customer preferences with our retail delivery channel. In addition to our new website, another strong example of this strategy is the planned opening of the innovation banking center in state college Pennsylvania which we announced in May. Our goal is to seamlessly integrate the upgraded e-delivery platform into the physical branch channels to form one unique experience through an evolving clicks to brick strategy. We worked extensively with multiple focus groups and engage them in the design of a center focused on providing a consultative financial experience and deepening relationships through enhanced cross-sell activities. The center will be open to accommodate account openings for Penn State University students during move-in weekend and is expected to be fully operational by early fall 2015. Before turning the call over to Gary and Vince, I would like to thank our employees for another great team effort. FNB was recently named among the best places to work by the Cleveland plain dealer, this is a testament to our employees and FNB's ability to integrate a cohesive culture across the entire company as we receive this recognition just two years after our expansion into the Cleveland market. This recognition is an independent validation of the comments I made on the April call that our culture has been fully integrated company-wide and across all FNB regions. In summary, record total revenue, record net income and 10% operating EPS growth are outstanding achievements. The second quarter results reflect a continued execution of FNB's proven and scalable business model. As a management team we believe the organization is in the best position ever to leverage new prospects to our enhanced online capabilities and superior market position. With that I will turn the call over to Gary so he can share asset quality results.
Gary Guerrieri: Thank you, Vince and good morning everyone. The second quarter of 2015 marked another solid quarter performance as our credit quality results for the period were stable to slightly improved and remain at consistently good levels. Our performance for the quarter was marked by overall lower delinquency, stable NPL and OREO levels and a consistently good net charge off level of 22 basis points annualized on a GAAP basis. I will now cover these topics with you in a little more detail as I first highlight the performance of our originated book of business followed by some commentary on our acquired portfolio. Looking first at our originated portfolio, the level of NPLs and OREO at 108 million improved by three basis points to end-June at 1.05%. Delinquency also remained at a solid level and was flat on a linked quarter basis at 86 basis points. Net charge-offs totaled 5.8 million or 23 basis points annualized which is slightly better than our targeted levels for the period and remains in-line with our performance over the last several quarters. The originated provision at 8.7 million exceeded net charge-offs and covered loan growth for the quarter resulting in an ending originated reserve position at 1.21%. Overall we remain very pleased with the continued solid and consistent performance of our core book of business. Now shifting to our acquired portfolio, we ended the quarter with outstanding loans at just under 1.4 billion. Our performance for the period was highlighted by reduced delinquency levels and the resolution and exit of sub-performing credits. Total required delinquency was down nearly $5 million on a linked quarter basis ending June at 51 million with the improvement attributable to reduced levels within the 90 plus category. This favorable movement is reflective of the actions and effort put forth by our experienced team to proactively manage and resolve these underperforming credits. Our acquired provision for the quarter was minimal at a $121,000 resulting in an ending reserve of 6.9 million. In summary our second quarter results for both our originated and acquired portfolios were stable and consistent and the solid performance of our overall loan book continues to be the key driver of our high quality earning stream. We continue to reap the benefits of the ongoing investments we have made to maintain a robust holistic credit framework from which our teams can administer our core philosophies of diligently approving, monitoring and managing credit across our entire footprint. Furthermore this positive performance would not be possible without the strength and depth of our lending credit and workout teams across the organization. I will now turn the call over to Vince Calabrese, our Chief Financial Officer for his remarks.
Vince Calabrese: Thanks, Gary and good morning everyone. Today I will discuss the second quarter's operating performance and reaffirm our guidance for the reminder of the year. Looking now at our results for the second quarter, total average organic loan growth was a solid 249 million or 8.8% annualized on a linked quarter basis due to growth in both the commercial and consumer portfolios. This loan growth comes despite increased competition as FNB continues to benefit from an increased number of prospects in our metro markets of Pittsburg, Cleveland and Baltimore as well as solid results in our Pennsylvania community markets. As you may recall from prior calls and as Gary mentioned earlier, expansion into these metro markets has enabled us to deliver sustainable, high quality loan growth while maintaining our underwriting standards. On a linked quarter basis average commercial growth totaled a 151 million or 9.6% annualized. The linked quarter growth in the consumer portfolio totaled 93 million led by organic growth in mortgage and indirect auto loans. Average growth in indirect auto loans was 30 million and continues to be a solid business for us across our footprint. On a linked quarter basis organic growth and total average deposits and customer repos totaled 217 million led by strong DDA growth and higher average savings balances. The growth in DDA balances of a 140 million were 21.2% annualized was due to solid organic growth and seasonally higher business account balances. Total growth in transaction deposits and customer repos total 229 million or 9.4% annualized. Additionally we launched a new premium sweep deposit product in June that provides FNB with more favorable treatment for FDIC insurance premiums relative to customer repos. At the end of the quarter our funding position continued to strengthen as 79% of total deposits and customer repos were transaction based. From a total funding perspective our relationship of loans to deposits and customer repos was stable at 92%, net interest income increased 1.9 million or 1.5% reflecting solid organic loan growth and one more day in the quarter. Net interest income levels compared to the prior quarter included 1.7 million of benefit from accretable yield adjustments equal to the level of benefit realized in the first quarter. The core net interest margin narrowed four basis points to 3.39% reflective of the continued low interest rates and competitive environment for new loan originations. Looking now at non-interest income and expense, core non-interest income was 24% of total revenue and as Vince mentioned earlier includes benefits from the previous investments made in several fee based business units. These investments reflect the strategic focus to diversify our fee income stream and lessen our dependence on net interest income and consumer banking fees. As you know consumer banking fees continue to be an industry wide focus, having been impacted by regulatory constraints and evolving consumer behavior, core non-interest income increased 1.5 million or 4.1%, our mortgage business had a great quarter, total mortgage revenues increased 700,000 driven by the record origination volume that I mentioned earlier. Wealth management also had a great quarter, it's total wealth management revenue which include security commissions and trust income increased 800,000 or 10% benefitting from the incremental lift in the Baltimore and Cleveland metro markets. Insurance fee income declined due to normal seasonality from the timing of annual policy renewals and seasonal contingent fee revenue received during the first quarter. Non-interest expense excluding acquisition costs increased 1.5 million including higher OREO expense, higher accruals for variable based incentive compensation and seasonally higher marketing costs. These items were partially offset by lower FDIC insurance expense and seasonally lower occupancy costs. The second quarter efficiency ratio was 56.0% compared to 56.6% and 57.3% in the prior and year ago quarters. We continue to generate positive operating leverage with disciplined focus on expenses through initiatives such as vendor relationship management and branch network rationalization. This year we consolidated an additional five locations bringing the total number of locations consolidated since 2010 to 58 which represents nearly 20% of our total branch network. Regarding income taxes, our overall effective tax rate for the quarter was in-line with our expectations at 31%. Regarding our outlook for 2015 as I mentioned earlier we’re reaffirming our prior guidance issued on the April call. As you will recall at that time we updated our net interest margin guidance for revised market expectations from a delayed fed interest rate move and a continued low interest rate environment. We anticipate continued slight quarterly narrowing from the second quarter core margin of 3.39% for the last two quarters of 2015. Earlier in June we completed our first public disclosure of our DFAST stress testing results. We are very pleased with the results which demonstrate the value of operating a lower risk business model. All projected minimum capital ratios exceed the regulatory minimum thresholds as well as the well-capitalized thresholds. These results are proof point of the strength of FNB's enterprise risk management infrastructure and are consistent with our long term investment thesis and capital management philosophy. In summary we’re excited about the positive revenue and efficiency trends for the first half of 2015, with solid organic loan and deposit growth in more diversified core fee income stream, positive operating leverage in a number of strategic accomplishments. The strategy of expanding into new markets to generate sustained organic growth has proven to be key to our success amid a challenging operating environment for the overall banking industry. We’re confident in our changeability to leverage these new opportunities as our expansion strategy continues to serve us well. Now we would like to turn the call over to the operator for your questions.
Operator: [Operator Instructions]. And the first question comes from Casey Haire with Jefferies.
Casey Haire: I guess I will start off on the loan growth front, decent quarter here. Just wondering how the pipeline is shaping up number one. Number two, how much -- if you can quantify how much came from out of Pennsylvania in your expansion markets and then three C&I, kind of decelerated that -- this is I think your weakest linked quarter in the last six months just curious what's causing that as an increased competition, or are people refi away, just some color there. Thank you.
Vince Delie: Okay, first of all on the pipeline, overall the pipeline is fairly consistent with the same period last year. So we range anywhere from a 1.7 billion to a 1.9 billion during this period. There are some seasonality in the pipeline but we’re pretty satisfied with where we sit at the end of June from a pipeline perspective. So it's up there with some of the highest levels we have seen. Secondly, we had a very strong quarter in production from the community group. So we actually had some good growth in some of the more rural areas so there were some good performance and the pipeline, the mix in the pipeline shifted slightly so about 2/3rds of that pipeline versus three quarters in the prior quarter are coming from the metro markets. So it's not because the pipeline has shrunk it's because the shift there has been shift in demand. In terms of C&I lending, this is a very competitive environment. There are credits that were marginally, that we had told you before that we exited so you have some of that going on. There are more aggressive lenders out there who are willing to take out some of the C&I credits that we’re not necessarily worried about losing. Secondly we have had a number of larger credits where other capital sources were sourced and we have had pay-offs in those areas where the high yield market or other types of avenues have opened for these guys and they have paid down their exposures. So that’s basically what made up the slower growth there. I would say if you looked at the pipeline we still have about the same amount of opportunities in the C&I when you look at the relative dispersion of the pipeline.
Vince Calabrese: But I would just add, Casey, just to clarify, if you look at the data sheets that we have in the press release. I mean the C&I piece on average balance basis was 2.9% unannualized so close to 12% if we annualize it and on a spot basis it's 2.3 or 9.5% on an annualized basis on a spot basis. So the C&I growth is still pretty good quarter to quarter.
Casey Haire: Just switching to expenses, it came a little bit higher than I guess I expected but you guys are still tracking very nicely towards that mid-year guide. You did call out a couple of the drivers. I was just wondering you know in the back half of the year, can we see some leverage in some of these items maybe the variable comp, OREO or marketing. Just wondering what the back half expense run-rate looks like versus the second quarter run-rate.
Vince Calabrese: Yes I would say just to comment on the expense guidance from April again that we were reaffirming was mid-single digit year-over-year growth. On the OREO side that increase is really all related to one acquired property that we took an impairment charge on so it's not significant but not something I expect to happen next quarter second half of the year. I mean OREO things tend to be lumpy so the second quarter had a little bit of a inflation in there just from that one item. I would say overall the efficiency ratio we just under 50% - 55.99% this quarter so we continue to make good progress as far as generating positive operating leverage and we would look to continue that, I mean that’s a big focus for us, our ability to grow revenue and manage the expenses is key, it's a key focus and it will continue to be recently consolidated an additional five branches we mentioned so there is some benefit that will happen there and the incentive comp is as you, at this time of the year as you go forward you see accruals there, I mean that’s a function of how we’re doing kind of relative to our plan. So I would say there is still opportunity for positive operating leverage, it's what we’re focusing on as we go forward.
Operator: Thank you. And the next question comes from Preeti Dixit with JPMorgan.
Preeti Dixit: Vince, with the Bank of America balances coming on in September, how should we think about how you plan to deploy the liquidity near term maybe securities or and what you would be adding in terms of new yield.
Vince Calabrese: Yes we would be I mean in short term we would be just paying off borrowings and then we would use those funds to fund the loan growth that we expect to encourage to go forward. So the exact utilization will be kind in that direction and we haven't firmed up exactly what we’re going to do yet but directionally that’s what we would end up doing. It's a nice source of deposits with the metro markets that we have and at some point the economy really starts to lift off the loan grow should even accelerate more and having that deposit source of funding will be important as we go forward.
Vince Delie: Yes I would also add that in terms of modeling this, there is a significant amount of opportunity for us from a lending perspective particularly commercial in the Lancaster market. We didn’t have a presence there before. We have people on the periphery. We feel pretty good about our ability to deploy the liquidity in higher yielding loan growth.
Preeti Dixit: And then just I think to the loan yield what were new money loan yields this quarter, how that compare to the prior quarter maybe some color there?
Vince Calabrese: Sure. If I look at the new loan yields for this quarter, we were around 360 but 10 basis points higher than first quarter levels and if you look at it kind of relative to loans that we’re rolling off, we’re rolling off around four, so losing about 40 basis points kind of net based on the [indiscernible] for the quarter but the loan yields differential that was about 50 basis points last quarter so the increased loan yield of 10 basis points reduces that kind of net number and with our interest bearing liabilities really being flat at 41 basis points that they have been for the last on average last six quarters. This is what causes the slight margin compression that you saw this quarter but it's moving in the right direction with yields 10 basis points higher than last quarter.
Preeti Dixit: Is that improvement because of mix shift in the portfolio in terms of what's originating or you’re actually seeing maybe competitor pressure here a bit?
Vince Calabrese: I think it depends on the asset class, I mean in different segments you’re seeing different levels of competition. So in certain portfolios we have seen a little bit of margin expansion in others, it's still competitive, so it's kind of all over the board.
Vince Delie: I don’t think it's lessened.
Vince Calabrese: I don’t think it's less competitive. I would say it depends on where the volumes come from in the quarter. So that has a slight impact -- the mix of loans that we’re originating.
Preeti Dixit: And then Vince, the TCE ratio sitting at 6.9% here as the growth running kind of upper single digit on an annualized basis, can you talk about how comfortable you’re taking that TCE ratio lower than if asset growth continues [indiscernible] how you’re thinking about capital strategy here?
Vince Delie: Sure. We have talked about TCE ratio being comfortable in a range from 6.5 to 7, obviously that ratio gets affected by rates moving up and down, it's a little higher at the end of the first quarter because rates had come down and it's 693 here. So that range of 6.5 to 7 we’re comfortable operating in with the earnings that we’re generating and retaining, there is a plenty of capital to support the organic loan growth that we’re guiding to. So very comfortable where we’re, we did the stress testing results that were published and very comfortable with the impact of the stress test on all of our capital ratios and the projected minimums that we would have kind of worse case numbers throughout the nine quarters or above as I said in my remarks above the minimums and above the well-capitalized. So very comfortable with where the capital stack is right now.
Operator: [Operator Instructions]. And we have a question from Frank Schiraldi with Sandler O'Neill.
Unidentified Analyst: This is actually Rob [indiscernible] filling for Frank. Just wanted to ask quickly on the average non-interest bearing DDA growth, I mentioned there was some seasonally higher business account balances, I was just wondering if you quantify how much of the growth was seasonal and then if there were any specific geographies where you saw that, I think you mentioned it was related to just new business accounts. I was wondering if there is any specific geographies you could highlight?
Vince Calabrese: Yes I mean it was pretty much across the board and there is some seasonality in the DDA growth particularly in the municipal segment. Truthfully it's pretty scattered. So we’re seeing some good opportunities roll-in, in Pittsburg we still have a pretty decent headwind or tailwind I should say in Pittsburg helping us with the deposit growth, I think, given the scale that we have now it's become a little easier for our team to obtain the deposit balances. I think in the other markets Cleveland and in particular we have done pretty well, Baltimore has grown well and we have also seen some good deposit growth out of some of the Central Pennsylvania markets that we’re in. So it's been pretty good for us.
Operator: Thank you. And the next question comes from Brian Martin with FIG Partners.
Brian Martin: Can you just give a little color on some of the NIM [ph] outlook, I know you gave kind of reaffirm things, but just as far as kind of, maybe the rate of change I guess, are you sensing the rate of change and the declines is beginning to narrowing kind of maybe just the inflection point of when you start to see a margins stabilize and actually increase kind of just as it pertains your expectations for rate increase other than delayed. But how you guys, what your budget is as far as rate increases and how it impacts the margin?
Vince Calabrese: Sure. What rates where they are remaining at these levels as I commented on, we’re still looking for say couple of basis points of compression each of the next two quarters within that forecast we have a first move from the Fed in September. I mean I believe the Fed really wants to do something here and our forecasts called one in September and one in December so you get the Fed funds of 75 by the end of the year. I think that the inflection point if you get those two moves, the margin still goes down a little bit in the fourth quarter and then if we start to get on that path going forward then as you move into next year. I mean we are not giving guidance for next year but you’re pretty close to bottoming here anyway at a couple of basis points a quarter. So that’s kind of what we had locked in there as far as the kind of rate forecast and as I mentioned earlier the across the interest bearing liability it's just flat line at 41 basis point. So I think that as all of us will look forward to rate start and move up, but I would say we’re pretty close to that inflection point.
Brian Martin: And just from an asset sensitivity standpoint, what percentage of loan book is variable rate today?
Vince Calabrese: From an asset sensitivity standpoint 42% of our loans are tied to LIBOR or prime and then overall it's 58% that are adjustable variable but the key item there is that 42%.
Brian Martin: Okay. And just maybe I know accretion can be a little lumpy but just kind of an annual basis I guess is the similar level of what you’re seeing now I guess no reason to think a whole lot of different, the second half of the year?
Vince Calabrese: Yes we talk about the guidance I gave last quarter which still hold, we used to talk about 0.5 million to 7.50 million a quarter is kind of what I would call normal accretion, it's probably more like a $1 million and if we have some resolutions it's a little bit higher, it does move quarter to quarter but kind of that million a quarter is kind of what I would consider the core level there.
Brian Martin: And maybe just an obvious answer, but just any change in the dialogue on M&A or just kind of how you guys are thinking about that?
Vince Delie: We kind of say the same thing every quarter I guess it would be the same answer. I don’t expect that’s a change our strategy. I mean we are active--
Brian Martin: I guess I was just wondering if there has been more activity if you’re seeing more activity from potential sellers as far as coming across [indiscernible] as opposed to change in the strategy I guess you guys have been consistent on that?
Vince Calabrese: I think it's been maybe in the beginning of the year it's a little slow for one reason or another, but the pace of transactions that are around there I think has been pretty steady. So we haven't seen a change in the pace.
Operator: Thank you. As there are no more questions in the present time, I would like to turn the call back over to management for any closing comments.
Vince Calabrese: Yes I would like to thank everybody for calling in. I know this is a busy time of the year for you guys, busy time in the quarter particularly given all the announcements, earning announcements that are out there, so I appreciate you participating in our call and as I’ve said in my prepared comments we’re very excited about how we’re positioned, we think that we have a great opportunity moving forward and our team is executing as expected. So thank you for calling in and have a great day. Take care.
Operator: Thank you. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.